Operator: Welcome to the Lannett Company's Fiscal 2021 Second Quarter Financial Results Conference Call. My name is Adrian and I’ll be your operator for today’s call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session.  and Please note this in conference is being recorded. I’ll now turn the call over to Robert Jaffe. Robert Jaffe, you may begin.
Robert Jaffe: Good afternoon, everyone, and thank you for joining us today to discuss Lannett Company’s fiscal 2021 second quarter financial results.
Tim Crew: Thanks, Robert, and good afternoon, everyone. We trust you all remain safe and well. I'll begin with a brief review of our financial results. For fiscal 2021 second quarter, net sales were $134 million and adjusted EBITDA was $24 million, which exceeded and met our expectations respectively. We overcame several challenges in the quarter driven by a strong performance in certain key line products such as posaconazole and fluphenazine as well as the launch of levothyroxine capsules and a full quarter of sales of new products we launched Q1. This was partially offset by lower than expected sales of Sumatriptan and Metoprolol ER which I'll review further in a moment. Our gross margin was lower than anticipated, largely due to more than expected competitive pricing pressure and associated customer inventory price adjustments along with a few out of the ordinary items. We expect some of these pressures to continue and others to abate.
John Kozlowski: Thanks, Tim, and good afternoon, everyone. As was mentioned earlier, I will be referring to non-gap financial measures. The reconciliation of the GAAP to non-GAAP numbers can be found in today's press release. Now for the financial results on a non-GAAP adjusted basis. For the 2021 second quarter, net sales were $133.9 million compared with $136.1 million for the second quarter of last year. Gross profit was $31.1 million or 23% of net sales compared with $50.2 million or 37% of net sales for the prior year second quarter. The decline in gross margin was largely related to competitive pricing pressure and associated customer inventory price adjustments and sales mix. Research and development expenses declined to $5.6 million from $6.8 million, largely due to timing of project spend and cost reductions related to the restructuring we implemented in July 2020. SG&A expenses declined to $12.1 million from $16.1 million largely due to the restructuring and cost reduction initiatives announced and implemented in the first quarter and lower incentive compensation. Interest expense decreased to $10.5 million from $13.1 million in last year second quarter, due to repayments of Term A and Term B loans as well as lower interest rates. Net income was $3.2 million or $0.08 per diluted share. Net income for last year second quarter was $11.7 million or $0.27 per diluted share. As previously stated in Q1, our Q1 adjusted EBITDA excluding the full cost saving benefit of the recent restructuring, less expenses, such as severance incurred in the quarter was $26 million. Our comparable adjusted EBITDA for Q2 was $24 million. Turning to our balance sheet. At December 31, 2020, cash and cash equivalents totaled approximately $34 million. We expect our cash balance to increase in the second half of the fiscal year and to be around $50 million at the end of both Q3 and Q4, primarily due to improvement in our working capital, as well as from already received and expected future income tax refunds. Additionally, we have $5 million of cash not included above and a restricted account based on our amended agreement with our Term Loan B holders. Our outstanding debt at the quarter end was as follows: total debt was approximately $639.4 million. Debt net of cash was $600.2 million, and net secured debt was $514 million. As Tim mentioned, in November, we used a portion of our existing cash to pay off in full our Term A loans. We are actively pursuing opportunities to enhance our capital structure and intend to refinance our remaining Term B loans well in advance of maturity. In December, we established a new $30 million revolving credit facility, which provides enhanced liquidity. Our Q2 GAAP financial results included a non-cash asset impairment charge of $198 million, primarily related to the write-down of intangible assets, specifically product rights associated with the acquisition of Kremers Urban Pharmaceuticals. The impairment analysis was partially triggered by our decision to discontinue certain product line. Sales of which have declined over a fairly lengthy period of time. Product lines generated net sales of $29.9 million for the fiscal 2020 full year and $3.6 million and $0.8 million for Q1 and Q2 of the current fiscal year respectively. Turning to our outlook. We are revising our guidance for the fiscal 2021 full year as follows: net sales in the range of $480 million to $500 million, down from $520 million to $545 million; adjusted gross margin as a percentage of net sales of approximately 24% to 26%, down from 29% to 31%; adjusted R&D expense in the range of $26 million to $28 million, down from $29 million to $32 million. I like to point out that our total R&D for the year has come down because of lower than anticipated project spend in the first half related to timing. We expect R&D to ramp up in Q3 and Q4, which is largely related to our investment and our durable product pipeline. Adjusted SG&A expense ranging from $52 million to $54 million, down from $55 million to $58 million; adjusted interest expense in the range of $41 million to $42 million unchanged. The full year adjusted effective tax rate in the range of 26% to 27%; adjusted EBITDA in the range of $75 million to $85 million, down from $100 million to $110 million; and lastly, capital expenditures to be approximately $10 million to $15 million, down from $15 million to $20 million. Regarding the phasing of the quarters, we expect net sales and profitability in Q3 and Q4 to be similar but lower than Q2. With that overview, we would now like to address any questions you may have. Operator?
Operator: Thank you.  And the first question comes from Gary Nachman from BMO. Your line is open.
Rafay Sardar: Good evening, it's Rafay Sardar on for Gary. Could you help us better appreciate the magnitude of the various components that drove the reduction and guidance? How much is due to greater competition on the base portfolio versus pressure on newer products? And could you also comment on the cadence for gross margin for the balance of the year?
John Kozlowski: Rafay, this is John. I can take that one. We'll start by saying that, there was a few components on the revised guidance. The first part is really the acceleration of competition as we saw with or as we're modeling with both Posaconazole and with Fluphenazine, if you recall from Q1, we had in our guidance competition towards the end of the fiscal year. In our new guidance, we have that now in the current quarter. So where we had some strong sales in both those categories, both infectious diseases and in anti-psychosis, our expectations now in Q3 and Q4 is that they will come down. On top of that though, we also had the discontinued products that had a run rate in Q1 of about $3.6 million. That was a bit less than Q2, but some of that was due the fact that we had a large government rebate to pay for Metoprolol. But overall it's mostly a reflection of our new sales forecast.
Tim Crew: And Rafay, I just add, it's Tim here. I think the decline in margin percentage coming from the new competitors on our higher value products, largely offset by the very low margin to negative margin on the discontinued products. So we expect gross margin percentage on a lower sales base to be maintained.
Rafay Sardar: Okay, thanks. And could you also comment on what you're seeing with respect to potential business development opportunities? How confident are you in completing a few transactions in 2021?
Tim Crew: Regarding the business development, we still find ourselves very well positioned relative to our commitment to the space. The quality of the team, the degree of benefit and services we offer beyond commercialization to the full range of what those partners are looking for. We do expect to be announcing more transactions, particularly, around more durable elements of the course of this fiscal year. And look forward to getting those words out to you when they get transacted.
Operator: And your next question from Gregg Gilbert from Truist Securities. Your line is open.
Gregg Gilbert: Thank you. First for John, can you help us understand what the cats and dogs were in gross margin percentage in the quarter? I believe Tim characterized some of them as not sounded like one time or but don't want to put words in your mouth. And Tim, as the slippery slope that has been gross margin percentage content, you sort of soured your view on continuing down the path of the same kinds of products going forward, clearly, you're looking to get into higher value, larger opportunities like you've discussed in the out years. But I have to imagine it's been frustrating to -- it's have to deal with the melting ice cube aspects of the business in some cases melt faster than you expect them to?
John Kozlowski: So Gregg, this is John, I'll take the first part. Some of the one-offs in the period that we were referring to is specifically with Metoprolol. I mentioned that we had a large government rebate. Metoprolol was one of the products that were in our discontinued list. So it was a significant reduction to the quarter that we will not see in Q3 or Q4. We also had some inefficiencies with our operations, some of them COVID related with absenteeism that we're expecting to increase as we go into the back half of this year. As a matter of fact, we're just looking at some of our results from January versus December, we're seeing a significant increase in our overall output.
Tim Crew: And regarding to the slippery slope on a gross margin, yes, I do think the fact that we've been seeing fewer new generics being approved and more approvals on existing generics has accelerated the erosion on what we might call some of the base products in our portfolio that more than we may have thought a few years ago. However, we have been focused on building out this sort of durable portfolio for quite some time. And I think it's important to note that we're in process with some of those durable up portfolio items. We tend to speak to the very large ones like insulin and ADVAIR. But we're pretty darn proud of getting products like Posaconazole and Vardenafil and Levo caps out in the market, as examples of products which have, some pretty decent sustainable value, while Posaconazole is going to be coming down now. It's the first second ANDA approval that will exist, that is in the market now. And it's still a pretty valuable product for us, those sorts of products that we have been working on building out for awhile. And it gives us hope for our expectations of our longer-term growth, particularly as the much more sizeable and much more technology intensive ones that we talk about in the respiratory space, in the insulin space, draw near to our gross margin delivery in our strategic plan.
Gregg Gilbert: Great. I have two more. On Numbrino, clearly, a lot of elective surgeries are rebounding as noted by other companies that make widgets that are tied to such activity. Are you noticing any rebound there relative to...
Tim Crew: We've not seeing any significant movement in our Numbrino sales. We think that is still under a fair amount of pressure from a lack of those sorts of surgeries. Our sales last quarter were sub $1 million as they were the year before. It is certainly an area where we expect to see recovery and significantly more sales. And like the other, I should have mentioned it as a durable product. It is a high margin and not expected to have a whole lot of other people in it for some period of time.
Gregg Gilbert: And then lastly, early in the pandemic, it was remarkable how few supply chain disruptions we saw across pharma, branded and generic. And I don't know how much of that was due to safety stock on hand or other things. But is there a reason to be concerned that there could be more sort of hangover effects from that in this calendar year versus the prior calendar year as many companies have worked through their APIs and materials and other things that might have been stockpiled at the beginning? Or really good about all things supply chain related to the pandemic and how it's affected movement around the globe? Thanks.
Tim Crew: Well, as you just noted. I think the industry to its credit and to the benefit of patients is, has been remarkably resilient during the pandemic and ensuring adequate supply of our medicines. Lannett has always prided itself as being particularly strong on a reliable supply and a less complex supply chain and should the disruptions of the last year continue in a way that starts creating a fewer safety stocks. We feel we're well positioned to supply those customers products that we needed is a strength of the organization, but not one of which we've gotten much benefit from in the recent quarters, given the resiliency of the overall supply chains. But if that changes, we stand ready.
Operator: And your next question comes from Matt Hewitt from Craig-Hallum and Capital. Your line is open.
Matt Hewitt: Good afternoon, and thank you for taking the questions. Just a couple for me. First off, and I don't know if it's possible, but is there any way to quantify what the COVID headwinds have been over the past year? And you've talked about Numbrino, but you think about the ADHD drugs have been in decline because of the pandemic and I'm sure, there's others. How much of a headwind is that? Does that 10%, 15% over the past, call it 12 months and as we see the vacation increasing, infection rates declining, is that a potential tailwind for you later in this calendar year?
Tim Crew: Good evening, Matt. We have noted in other calls and the number of you when your compatriots have observed the sort of volume declines across industry which have been in the sort of low single digits. I always try to make the counterpoint. It's not just the client. It's also the fact that it wasn't a game. Over most of the decades, I have now spent in this industry, what we've always seen single-digit growth in generic pharmaceuticals. Over the last year, you've seen single-digit negative growth in pharmaceutical. So that net swing can be maybe 10%. We shall see. We certainly hope to see that as part of our lift as we get into our next fiscal year. And then of course, beyond of the Numbrino curtailment, which you just referenced, we have other areas like you don't see as much cough and cold utilization, which is a disproportionate part of folks that are not getting cough cold as people stay in, right? So those particular products in our portfolio are certainly down more than 10%. So we do see lift on the balance of the portfolio, as life pertains, a degree of normalization and new patient starts on existing generics goes up again, and then we see a specific sectors of opportunity in cough cold, in Numbrino for those pieces of our portfolio that have been disproportionately reduced more than the single digits you see for the macro effects.
Matt Hewitt: Got it. Okay. And then one other one from me, as far as the pipeline is concerned. Thank you for providing the update as far as, number in development, pending approval and pending launch. As we look at, call it, the next 12 to 18 months, the 11 pending approval by the end of the fiscal year, is it safe to assume somewhere between a quarter and maybe half of the ones that are in development could also reach the goal line over the next 12 to 18 months. I'm just trying to think how areas where you could drive some incremental EBITDA to help with that current balance sheets situation. Thank you.
Tim Crew: So we tend to think of it, again, to that annual goal, we've spoken to a $70 million of annualized sales from each bucket of years product launches. We certainly accomplished that last year with the Posaconazole anchor. This year, it will certainly be accomplished, we believe with the Levo Caps and Levo Tabs anchors as well as potential nasal spray opportunities late in the year on zolmitriptan. And as we look forward to next year, we expect to be able to continue that. We are focused a little bit more on the sort of product quality, where we're willing to back off from the 20 product launches we started with to getting to that same sort of dollar range on fewer products. We are pleased to share that it looks like the API issue that held up our limited approval for some period of time as resolving itself. We do not have an approval yet, but the API issue, which is a pull that off of our commentary is looking better for the course of the calendar year. And then it's getting the next year, of course, there's all sorts of things that may occur but we feel good about that $70 million of annual new value.
Operator: And your next question comes from Elliot Wilbur from Raymond James. Your line is open.
Elliot Wilbur: Thanks. Good afternoon. First question for Tim, I guess, with respect to additional competitive entries on Posaconazole and Fluphenazine. Are those additional entrants pricing at points that coincide with historical experience, historical models, sounded like from your commentary? That may not be the case, but just wanted to verify if in fact, that's true.
Tim Crew: Yes. So we try to avoid any commentary on individual pricing expectations on any particular product for our portfolio. We will note that in aggregate we are increasing our expectation of declines across the portfolio to go from the mid to higher single digits to the highest single digits across our portfolio, which is a reflection I think of more entry on more products in our portfolio over the course of this year and beyond.
Elliot Wilbur: Okay. Maybe a question for John coming to back some of the earlier conversation around gross margin levels, could you disclose what the government rebate was related to Metoprolol? And I guess, the reason I asked the question is, is looking at the margin performance this quarter certainly can understand the factors that led to lower than expected numbers and the change of guidance going forward. But if I look at your revenue performance, I mean, generally across the board, and certainly in kind of your key high margin categories certainly seem to be better than external expectation. So it seems like there's a little bit of disconnect there. I'm not sure if I understand what's maybe fully behind that.
John Kozlowski: Yes. There is so -- I mean, there's a few different government rebate programs, but the large one referring to is one that has the doughnut hole, the Medicare Part D. So towards the end of a calendar year, we tend to see some higher amounts and this was a bit over what we had originally anticipated. So it had a significant impact to the overall quarter. Again, though, for a product, that is part of our discontinuation list. So moving forward, we will not have that type of exposure.
Elliot Wilbur: Okay. And then just perhaps last question for Tim, just coming back to Numbrino, just maybe a status update in terms of some of the non-commercial issues taken around the product, litigation update there?
Tim Crew: All right. Well, we have our general counsel with us, Sam Israel. So I'll ask him to maybe respond.
Sam Israel: Yes. Just update that most recently in a case that the competitor filed against the FDA, we are working with the FDA. The court has basically asked the FDA to go back and look at our application in light of the issues that the competitor raised. We're working with the FDA on addressing any issues the court has. And they're fairly competent that we'll be able to continue to as we have been to date market that product.
Elliot Wilbur: Okay. Then maybe one last question, sorry. Just maybe Tim and Maureen, if you guys could just comment on the deal environment in general, obviously a lot of products out there potentially for sale, not a lot of buyers, but more thinking about just the opportunities around licensing deals and partnerships, just the degree of flow that you're seeing and how competitive some of these opportunities are versus what you were looking at maybe 12 to 18 months ago?
Tim Crew: Well, I think we're seeing a continuing bifurcation of more interesting assets against a lot of less interesting assets. So this sort of onesies and twosies of multiple competitor oral products are certainly available out there. But we don't see them generating the value in terms of being able to step into supply disruptions or securing share against the cost structure to the same extent, we saw in the past. On the flip side of that, the more durable assets, the one that take a little bit more time, it take a little more support across our functional activities in our organization. Those continue to show excellent deal flow for us. And as I said, I think you'll be hearing more from us soon on those sorts of products. We have quite a large range of things that are in the hopper. Not all of them will obviously be transacted, but we feel pretty confident that you'll see some increasing contributions of those sorts of assets into our portfolio. I do think there is also as an industry and lots of duplication out there, right? There's lots of duplicate R&D. There's a lot of duplicate SG&A. There's a lot of duplicate manufacturing. So whether or not those sorts of transactions derive some value at some point we shall see. There is a gap between what buyers are willing to pay and sellers are looking to receive. But on the product side, we see good deal flow and the things that we talk most about in terms of driving our returns in the midterm and beyond.
Maureen Cavanaugh: I would just add to that. I'm sorry, I would just add that. We are seeing lots of deals coming across our desk and Lannett is considered a very good partner and we've showed that success. And so we're always getting new opportunities every day to look at it. As Tim said, sometimes they just don't add the value that we're looking for. But when we find them, we act quickly on them.
Operator: And the next question comes from Scott Henry from Roth Capital. Your line is open.
Scott Henry: Thank you, and good afternoon. I do have a couple of questions. I guess, first, did you quantify the annual revenues of the discontinued products?
John Kozlowski: Scott, yes, this is John. So as we had said that for last fiscal year the revenues were about $30 million and for Q1, they were about $3.6 million. They did come down significantly in Q2 to about $800,000 but a good portion of that was due to the difference in Metoprolol. So I think an average run rate was -- go ahead.
Scott Henry: Okay. Thank you. That's helpful. I apologize for missing that. And question -- for the generic industry is often about opportunity. And the question is, once you discontinue a product, if an opportunity, whether a supplier falls off or whatnot, how hard is it to restart up that product?
Maureen Cavanaugh: This is Maureen. I'd say, it really depends on how long it has been since you discontinued a product. So obviously, if you discontinue a product, just because of the value that it gets with having no operational issues, it's easy to bring back. It's quick to buy some API and produce the product. The longer it gets, the longer timeline from when you discontinue a product to consider bringing it back in the market that takes a lot longer to bring the product back to market things change. And so...
Scott Henry: And when do you think a product goes stale, if at what point is it you're almost starting from scratch, is it a year? Is it two years? Just curious.
Maureen Cavanaugh: Yes. I mean, there's lots of theories about that I think it's product by product specific. One rule of thumb, people say five years and greater, but it really is very, very product specific. It depends. So we're constantly looking at that. We look at our old ANDAs that we've not solved for awhile and consider it all the time or constantly looking for opportunities in the market. So we can jump on them.
Tim Crew: I know that the FDA support of prior approval supplements and their speed of which they are acting on them certainly shortens the time horizon that historically we have seen to bring those products back in the market. So I assure you, should those markets become more valuable. They remain in our portfolio by and large, and we'll be able to act upon them. I also think pragmatically that's not what our expectation is, or we would not discontinue them from where we stand here today. Certain products, their structural concerns, we mentioned on Metoprolol and it's government rebate requirements as an NDA, as opposed to an ANDA which made it uncompetitive vis-a-vis numerous competitors in the market today.
Scott Henry: Okay. That's helpful. I appreciate the color on that topic. A second question on gross margin, if we look at the adjusted gross margin and use the midpoint, it basically dropped from 30% to 25%. When we think about next year now there'll be new products and there'll be some other products that are worse. I mean, is it reasonable to think that perhaps the margins are down to 25% in 2022? Is that a rational way to think about it?
John Kozlowski: So I mean, we typically give some color for our fiscal 2022 towards the end of our year. We'll expect to give something on our Q3 call in May. So in a few months, we'll be able to provide a bit more color in terms of our margins that from a run rate.
Tim Crew: And I'll add that we have previously said, we still believe that as we look out over time with the more durable items in our portfolio, recognizing that most of those durable items will have a partnership. We've always talked to a $1 billion dollar goal and happy to be in a 30% gross margin arrangement, that net margin to ourselves. I think that remains in place. So the portfolio itself of any given year will affect, obviously, what our gross margin will target for that year. But over time, I think something in this sort of low-30s is what we would see as expected or targeted as these more valuable products come into our portfolio.
Scott Henry: Okay. And perhaps, having covered this company for about 10 years, I've seen the cycle on the high side to low side. Do you, Tim, and obviously, it's an opinion, but do you get the sense that we are kind of approaching the bottom of the generic cycle here? Is there a level in your opinion where margins typically bottom out before you have less competition and then they start the upward trend, again?
Tim Crew: Well, I'll simply say that we're not satisfied with where we are. But the market does indeed have lots of ups and downs, and we're fighting hard to do the best we can with the hand that we've been dealt and we try to keep our eye on the prize. So from our company perspective, we're quite proud of what we've done. I want to stress this, right. We created a launch parade out of kind of ethos in the last few years with $70 million of annualized value. We brought to market first launch products like Posaconazole, Levo Caps and Vardenafil, on and on. We're paying down our debt, reducing our costs and now building this really rather durable portfolio. So our main optic is what we can do with our team to deliver more value to that marketplace. And I do think the fact that we're talking more and more about these durable products that takes significant infrastructure investment, likely to partner for a company of our size, remarkable at some level that a company of our size, and to be able to latch onto these sorts of opportunities. It is a reflection that there are components of this industry, which I think are under duress and likely to stay there for awhile. As we've always said about supply and demand, if you can point to lots of supply I will show you a lower pricing. If you can point to less supply, I will show you higher pricing and we're working like heck to find those durable, valuable, fewer supplier markets that you've needed for us. And we're pretty excited about what we've done. We think it'd be transformational value when we get there. And we're moving as hard as we can to get there, be darned, what the rest of the market is doing.
Scott Henry: Okay. Great. I appreciate that feedback. Final question, it's just a multiple part one. On the insulin glargine, I just wanted to make sure I had this correct. You're going to start the trial in early calendar year 2022, about how long does that trial take from starting to read out?
Tim Crew: Well, we have on the line with us, Steve Lehrer, who also leads our biologic efforts, particularly around insulin online. Steve, if you're there, could you please respond?
Steve Lehrer: Yes. Good afternoon. The clinical phase of that trial takes about four to five months. So we start in early '22 by mid '22 we have a trial basically wrapped up.
Scott Henry: Okay. So then would we expect that, as it's going to take a little time to prepare for ANDA, maybe you file that by the end of '22 and then in, and that leads to the launch kind of mid '23, perhaps second half '23 sense calendar year that is.
Tim Crew: Steve, do you want to continue?
Steve Lehrer: Yes. We'll be filing biosimilar application BLA. And that will be in the back half of calendar year '22, as Tim mentioned earlier and given the approval timelines. So we expect approval on the back half of calendar year '23.
Scott Henry: Yes. And I guess on that, how should we think about a biosimilar application and the turnaround, are they trying to stick to a certain time horizon there, or just any color you could give?
Steve Lehrer: Yes. So there's a specific biosimilar program fee and the agency has managed to keep within their timelines. And that's where we come up with about the year estimate right now, between filing the BLA and approval. And of course, Lannett is having ongoing discussions with the agency and making sure that we'll be able to file the BLA with all the appropriate information.
Tim Crew: And Scott, if I can add, just to reinforce the comments we made in the prepared remarks, it often gets lost in the information we try to share. And because it's a little bit different than things we normally talk about. But we talk about conducting a pilot healthy human volunteer clinical trial that is significantly faster and abbreviated in that lower cost than what people have seen in the past, right? So we are very encouraged by that guidance, and it is significant that the FDA has been supportive of that approach. And it really has accelerated our timelines to the point that we're talking about this filing as we get into next year.
Scott Henry: Okay. Thank you for that as well. And thank you for taking the multiple questions.
Operator: And this concludes the question-and-answer session. I'll now turn to call back over for management for final remarks.
Tim Crew: All right. It's Tim again. I'll close out with our customary shutout to all of our employees, customers and partners working extra hard in extra challenging times to provide high-quality, low-cost medicine for our patients. We look forward to sharing our progress on our next call. Have a good evening.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. Thank you for participating. You may now disconnect.